Operator: Good morning, and welcome to IntegraFin's 2025 Full Year Results Presentation. We're joined today by Alex Scott, Group CEO; and Euan Marshall, Group CFO. Following the presentation, there will be a Q&A session. But for now, I'd like to hand the call over to Alex. Please go ahead.
Alexander Scott: Good morning, and welcome to IntegraFin Holdings Full Year Results Presentation for the financial year ended 30th of September 2025. I'm Alex Scott, Group Chief Executive; and joining me today is our Group Chief Financial Officer, Euan Marshall. I'm going to kick off with an overview of the group's performance and our business highlights from FY '25. I'll then hand over to Euan to run through the group's financial performance in the period and the outcomes of the group's cost and efficiency review. Finally, I'll close with an update on the performance of the Transact platform and a look at the good progress we've made on our key work streams throughout the year before moving on to Q&A. FY '25 has been an excellent year for IHP. The group demonstrated continued strong performance, and we delivered on our strategic priorities. We attracted impressive net inflows of GBP 4.4 billion, driven by record gross inflows. Net inflows were up 76% on FY '24, a reflection of the ongoing quality of the Transact platform and the technological enhancements we've made over recent years. On the back of these excellent inflows, the group delivered impressive financial results with good growth in revenue and underlying earnings. Underlying earnings per share increased 7% in FY '25 to 17.4p per share. As we first announced in July, we have undertaken a review of group-wide costs. We have now completed the review, and we've identified clear opportunities to enhance productivity, and these initiatives are now underway. Looking forward, we have a clear focus on driving sustainable future earnings growth. I'm pleased to announce we've raised our total dividends for FY '25 to 11.3p per share, up 9%. Our market-leading Transact platform is built on proprietary technology and supported by exceptional service. This business model is a driving force behind these results. Our strategy has delivered consistent client growth a strong market share of both gross and net flows in the U.K. adviser market and recognition through industry awards. We have invested in our proprietary technology and IT infrastructure to sustain our highly differentiated proposition and extend our market leadership. We now expect that in FY '26 and FY '27, there will be group underlying annual cost growth of around 3%, including ongoing technology investment. Therefore, we will deliver both group-wide cost savings and continued investment in our technology capabilities as we reduce average cost to serve platform client. The business is now in an excellent position to accelerate future earnings growth. Our main priority in the financial year has been enhancing the platform's features and online processes through digitalization as well as broadening our ability to integrate with a wide range of adviser firm software. By streamlining key wealth management tasks, Transact remains the leading platform for financial advice firms. These enhancements drive higher inflows, strengthen client retention and increase the stickiness of assets on the platform. We also commenced our cost and efficiency program, which has been more possible -- made possible through our investment and we'll deliver a more streamlined operating model and greater efficiencies across the business in turn, increasing our operating margin. I'll now hand over to Euan for a more in-depth look at the financials for the period and an explanation of how we'll deliver the cost and efficiency program.
Euan Marshall: Thanks, Alex. Good morning, everyone. Firstly, I'm going to share an overview of our KPIs, which demonstrate the ongoing delivery of our strategic priorities is converting into strong operational and financial performance. As shown in the top left graph, average daily FUD has grown 14% year-on-year to GBP 67.9 billion. Aside from the market's movements, this has been driven by record gross inflows of GBP 10.1 billion for the period, whilst growth in gross outflows has slowed. A key driver has been our platform continuing to attract more business from our competitors, strengthening our net transfers. We have achieved an impressive 10% compound annual growth rate in average daily FUD since FY '21. Now looking at the top right graph, the growth in our average FUD has translated into revenues of GBP 156.8 million for FY '25, up 8% on FY '24. I will discuss platform revenue in more detail on the next slide. The bottom left graph shows that this record revenue has driven group underlying profit before tax, up 7% to GBP 75.4 million and equates to an underlying profit margin of 48%. Nonunderlying expenses totaled GBP 9.2 million in FY '25. This included a GBP 7.5 million impairment of goodwill relating to T4A, which was announced at the half year, and GBP 1.1 million of overlapping rental costs for our new head office relocation. We've also recognized a GBP 3.4 million non-underlying gain attributable to policyholder returns as a result of a release of GBP 0.4 million policyholder reserves to the P&L. Moving on to the bottom right graph. The group delivered strong growth in underlying EPS, up 7% on FY '24 to 17.4p per share. For FY '25, we have increased the second interim dividend to 8p per share, taking the total FY '25 dividend to 11.3p per share, a 9% increase on FY '24. Looking in more detail at Transact platform revenue for FY '25, we can see investment platform revenue increased by GBP 11.8 million in the year, representing 97% of group revenue. Growth in average daily FUDs during the year drove increased platform revenue with our annual charge income increasing 10% to GBP 138.1 million. The lower increase in annual charge income in comparison to average FAD is mainly a result of clients benefiting from the natural progression through our tiered pricing structure as the value of their portfolio increases. Wrapper fee income deed slightly year-on-year and reflects the reduction in charges for family-linked portfolios. These 2 recurring revenue streams combined to deliver 99% of total platform revenue. We continue not to retain any interest on client cash. In FY '25, total T4A revenue increased slightly to GBP 5 million. Focusing next on platform revenue margin. The graph highlights how platform revenue margin has moderated steadily in the past, but this attrition is now expected to slow in FY '26. Over time, our revenue margin has seen a measured decline as we've strategically invested in price through targeted fee reductions. These changes contribute to the strength of the overall platform proposition which in turn, have helped to attract new flows and improve the retention of client assets on the platform. Looking forward, we expect the reduction in revenue margin to come primarily as a result from the natural progression of client portfolios through our tiered pricing structure and the annualization of the prior year's targeted price reductions. As an indicative figure, the platform revenue margin for September 2025, the last month of FY '25 was 21.9 basis points. I'll now share more detail on our costs, starting with how we have carefully managed our administrative expenses in FY '25. In line with guidance, total underlying administrative expenses were 9% higher than in FY '24. Employee costs make up the largest proportion of our cost base and rose 11% in the year. This was because of several factors: firstly, a slight increase in average staff head count of 2%; secondly, the impact of investments in broadening the senior management team; and finally, our periodic review of remuneration packages across the business to ensure that we continue to provide competitive salaries to attract and retain high-quality individuals within the business. Before looking in detail at the cost review program announced in July, it's important to contextualize the previous investment we have made in the group. During the heightened investment phase over recent periods, we have enhanced the group's IT infrastructure and technology capabilities to deliver improved platform digitalization and provide a greater number of integrations with third-party software providers. A further key factor has been our investment in people. As I have just mentioned, we have broadened our senior management team over the past 2 years, expanding the expertise and quality of our people to the business. This investment in our technology and people will enable us to deliver future cost efficiencies and reduce our cost to sales per platform clients. Moving on from the cost growth in FY '25. I will now expand on the outcomes of the cost review program, which will help deliver enduring efficiencies in the coming years. We have completed the detailed assessment of our cost drivers and identified 3 key areas for sustainable cost savings that will create a more efficient business. Firstly, the greatest savings identified will come from improved productivity in our internal support functions. We are introducing more third-party technology, which will automate many manual processes for staff across the business. We're also changing the structure of some of those functions to simplify and standardize how we do things improving productivity so that we can maximize the value of the strong foundations that we've already put in place. The second source of savings will come from enhancing procurement and supplier management processes. The final element will be from enhanced platform efficiencies. Our ongoing focus on increasing the level of straight-through processing and automation is reducing manual tasks and processing times which Alex will discuss in more detail later in the presentation. We expect the cost review program to deliver GBP 4 million of annualized savings by FY '27. The strength of this review is in the sustainable ongoing nature of the savings. FY '26 and FY '27, total underlying administrative expenses are expected to grow at around 3% per year. Delivering these changes will not come at the expense of our client service or our technology. Our proprietary technology is a key differentiator in the U.K. adviser platform market. And through focused investment, we will continue to improve our proposition while implementing our cost efficiencies. Note that the anticipated one-off costs required to achieve the savings are included in the investment spend on this slide. Due to the timing of cost savings coming through, we anticipate cost reduction in the speed of cost increases to be weighted towards the second half of this year, meaning that H1 and H2 costs will be broadly similar. These actions put us on a clear path to long-term profitable growth while creating a more focused and resilient business for the future. Moving on to the next slide. I wanted to highlight the 3 core levers on which we are focused to drive earnings growth. Firstly, we've invested significantly in the business over the last few years, we believe this investment has been fundamental to improving our prominent position in a competitive market. This investment has now put us in a position where we can focus on margin delivery. We expect our market-leading platform to continue to drive strong net inflows in a growing U.K. advisor platform market. The second and third levers, our focus on revenue margin and our cost review leave us in a position to accelerate earnings growth and enhance shareholder value in future years. We're focused on the platform revenue margin with attrition in FY '26 being due to the impact of our tier pricing structure and the annualization of prior year price changes. Our group-wide cost review has identified productivity opportunities within the business and will reduce the rate of future underlying cost growth. We're confident in our strategy and business plan moving forward. Returning to our FY '25 financial position. The business continues to be highly cash generative with the majority of profit flowing through into cash. This positions us strongly for the future as we expect our group profit margin to increase. The left-hand table illustrates the group's strong liquidity position. Each of the group's regulated entities maintain a capital and liquidity buffer above the minimum levels required under various regulations. As a reminder, we maintain a liquidity buffer to ensure we have the ability to accommodate ongoing increases to capital requirements in our regulated entities and can continue to invest in the business, all whilst continuing to pay dividends to our shareholders. We remain confident this is the right level to help support the future requirements of the group. I'm pleased to say that we have approved a total dividend for the year of 11.3p per share, a 9% increase on FY '24, representing 65% of the total underlying profit after tax. As mentioned on the last slide, we've approved a dividend of 11.3p per share this year as part of our capital allocation framework. For reference, our capital allocation framework is shown here on the slide. Finally, I'll talk you through the group's guidance for FY '26 and FY '27. We're focused on managing platform revenue margin. We expect the reduction in the platform revenue margin to slow, driven by clients moving through the tiered price of charging structure and the impact of prior year price changes. As I mentioned earlier, our platform revenue margin was 21.9 basis points in September. As I highlighted on our cost slides, we expect total underlying administrative expenses to grow at 3% per year in FY '26 and FY '27. Net interest income is expected to be around 9% per year and the net gain attributable to policyholder returns are expected to be in the region of GBP 2 million per year. That concludes my part of the presentation. I'll now hand back to Alex.
Alexander Scott: Thanks, Euan. In this section, I'll provide an update on the Transact proposition enhancements that we've delivered and a more in-depth look at the Transact platform flow performance during the period. We've delivered significant enhancements to the Transact platform, leading to growth of client numbers and inflows and the strengthening of our marketing position. These digital upgrades have streamlined platform operations by reducing manual and paper-based processes, both for us and for advice firms. This has improved operational efficiency and elevated service levels across the platform. The movement of paper forms to online straight-through processing reflects our purpose to make financial planning easier. We have focused the transition on processes with the highest rates of human intervention. With standardized formats and instant data validation, we now receive clean instructions. Digitalization was a key step to further developing Transact platform integrations and APIs. With improved accuracy and greater data validation, advisers can now send instructions directly from their back-office systems, and we can trust the data being supplied. This is particularly important for the future use of AI. For the group, this means faster processing times, greater scalability of the platform and the ability for our client-facing teams to respond quicker to client needs. During FY '25, the Transact platform delivered record gross inflows and impressive net inflows. Total net inflows for the year were GBP 4.4 billion, up 76% on the prior year. Our excellent net inflow performance has been driven by record levels of gross inflows with 7 consecutive quarters above GBP 2 billion. This is a testament to the market-leading service we provide and the digital enhancements we have made to our proposition. We have also improved our net transfer ratio with other platforms as we continue to win more business from competitors with our transfer ratio improving to 2.8 in FY '25. We have also taken an impressive share of net inflows to the U.K. adviser platform market, which I'll cover in more detail on the next slide. And finally, outflows were largely stable during the year and reduced as a percentage of opening FUD to 9% in FY '25. Our impressive net inflows performance in FY '25 means we continue to have a strong market share of the net flows into the U.K. advisor platform market. This is a further reflection of the quality of our proposition as we continue to increase our market share of FUD and maintain an over 20% share of net inflows. We have a 10% share of the U.K. adviser platform market FUD and the external market review company, Fundscape, expects the adviser platform market to continue to grow at an impressive rate of around 12% over the next 5 years. I'm pleased to say the Transact platform continues to win industry awards, picking up the Schroders Best Use of Platform Technology and the Money Marketing Best Platform Award this year. Our market-leading service continues to drive growth in client numbers using the platform, and our long-term track record in client growth is displayed in the middle chart. This growth in client numbers in turn ensures a durable and growing source of inflows to the platform as illustrated on the right-hand side. So to summarize, in FY '25, we've delivered record growth and strong net inflows in the growing U.K. advisor platform market. We're confident of demonstrating good net flows momentum into future years. The award-winning Transact platform continues to enhance its proposition through digital enhancements and an expanding range of APIs. We have begun implementing the initiatives from the group-wide cost review. This will help to enhance business efficiency and drive operating margin growth. And to conclude, we have a very scalable platform and best-in-class proposition centered on our proprietary technology and high levels of client service. We're focused on growing revenue and delivering savings from our cost and efficiency program. Overall, this positions us well to drive sustainable earnings growth in future years. Thank you for your time, and we'll now open to questions.
Operator: [Operator Instructions] Our first question today is coming from Michael Sanderson of Barclays.
Michael Sanderson: Just a couple of questions, if that's okay. First one, I suppose you set out your capital allocation framework and you have the inorganic element before any sort of thoughts of returning to shareholders. I'd be interested to know what areas you think inorganic development might go at this point, given your sort of strong organic story over many years. And I guess, the second piece I was interested is there's obviously been quite a lot of noise or quite a lot of developing noise around sort of tokenization in the funds market and how that's likely to evolve in the coming years. And I guess, interested to know how you think about sort of preparation investment. That's something that the timing is so unclear and how you -- given that your proprietary technology, how you choose to allocate and approach potential quite sizable change in the market in due course.
Euan Marshall: Thanks for those questions, Michael. I'll take the first one, and then I'll hand over to Alex for your second. So on our approach to inorganic opportunities, yes, we predominantly focus on organic growth. That's something that you should take away from the call today. From a platform perspective, we don't necessarily see significant opportunities from inorganic growth through acquisitions, specifically in the platform market. But when it comes to looking at the technology that can enable the -- that can enable our wider proposition. We do continue to scan opportunities through the market. But we don't, at this point in time, see that as being a major driver. But of course, it has to be part of our capital allocation framework and considerations at a Board level.
Alexander Scott: Just picking up on tokenization. This is going to be one that I think we'll be talking about for a while to come. I mean it has actually been boating around for quite some time, and we've been talking about this with different companies for several years now. So it's not something that we're just sort of suddenly starting from scratch in terms of how we consider it and what we're doing. So this is something we've had in mind for some time. Obviously, there's lots of issues around how different markets, different regulatory jurisdictions are actually considering the controls they put around this. And obviously, we're having to take all of that into account as well. You'll be aware that the Financial Conduct Authority issued a consultation paper on this as well. So at the moment, we are doing more than nothing, but being very aware that, in many cases, the rules and structures are not formalized. So we'll be feeding into all of those consultations and making sure that our views and opinions are clearly heard and then driving forward from there.
Operator: We'll now move to David McCann of Deutsche Bank.
David McCann: Three for me, please. So firstly, you've given some guidance that you're expecting a similar Q1 for net flows for Q1 of last year. Obviously, that compares to some of your peers, which you obviously pointed to a weaker period-on-period comparison really driven by pension lump sum outflows in relation to the budget. So I guess, why do you think you haven't quite seen the same impact that some of your peers have been talking about there? That's the first one. And second one on costs. I mean what comfort can we as investors and analysts gain from the comments you made today that the 3% is a rigid ceiling on cost growth, given some of the experience from yourself and the sector in the past where the cost growth obviously been higher than that for a number of years. So should we really be sort of banking on free to have been an absolute upper ceiling there? So any further comfort you can give us there to the comments you've already made. And then finally, sticking with the cost theme, like beyond FY '27, could we see kind of a return to more historically normal levels or sort of mid- to high single-digit growth being more normal here. So if there's really just a 2-year thing and then it sorts of reverts to normal thereafter? Or do you think there can be a lasting effects of sort of lower single-digit growth?
Alexander Scott: I'll pick up on the net flows piece. I mean, it's one of those that from where we've set, we've seen not a dissimilar behavior to the patterns that we saw around the sort of October, November period last year with lots of budget speculation. As you rightly say, there's been significant movements in pensions money with people drawing down their PCLS. From our perspective, we have seen significantly heightened flows in both directions. And overall, as we've indicated in our announcement, our overall position, we're expecting to be sort of relatively net neutral from that. So why would we be different from other firms that have actually experienced more of an outflow from it and not seeing the upside on the inflows piece. I mean, I think that comes down to a couple of things. I mean, first and foremost, I'd say it's because when people are taking monies out from other pension arrangements that they have they're bringing that to the Transact platform, and we're seeing that being sort of put into other wrapper types that we have, so use of our investment bond structures and the like. And I think that sort of testament to the quality of Transact and the fact that we're still able to attract those monies in during those periods.
Euan Marshall: Cost side, David. So firstly, over the last couple of years, we've been meeting our cost guidance. So I would just like to reiterate that we have a plan in place, which management across the business are fully aligned on. We've really looked at the investment opportunities in the business, both from a platform development perspective, but also put structures in place where we've identified and prioritized the best areas to invest for future productivity improvements. And we are now already executing on that plan given that we're already a couple of months into the financial year. From a medium-term outlook perspective, naturally, as you look more than a couple of years out, there's inherently going to be uncertainty there about what the world may yield to us. But we have some good structures in place now and a budget to continue to invest in those future productivity improvements. So we'll be continuing to demonstrate that we are delivering productivity enhancements over that longer period of time. Hopefully, that answers your questions, David.
Operator: Does that answer your questions, Mr. McCann?
David McCann: Yes.
Operator: We will be moving on now to James Allen of Berenberg.
James Allen: Two from me. Just around your point on revenue margin and the attrition now being expected to slow. In terms of the price cuts on the platform during FY '25, what was the in-period revenue impact? And what is the annualized impact of that, i.e., the remaining impact in FY '26? Secondly, the Australian VAT issue, I know it's been a few years since we heard anything on this. Could you just remind me about where we are on this now? From memory, we were waiting for cases to be resolved involving HSBC or Barclays that set a precedent. If you could just remind us where we are on that, that would be helpful.
Euan Marshall: Thanks, Allen. On the revenue margin, I think we've disclosed in prior presentations what the annualized impact of those changes are. The biggest of those came through the start of April, I think, so start of H2. However, I think the main thing to look at here is during the presentation, I mentioned the revenue margin at the end for September, which was 21.9 basis points. So that could be useful for you to use. The other thing to keep in mind as well is that as funds under direction grows, broadly, we retain -- well, there's an attrition of around -- for every -- for FUD growth of 10%, we'll retain around 7.5% of that coming through to revenue. So that could be a good way of looking at it for modeling into the future as well.
Alexander Scott: Thanks, James. On the VAT issue, just a quick update. So we do continue to be stayed behind Barclays in this situation. We still consider that to be a sensible place to be as do HMRC because in that structure, there's a considerable savings from our perspective on legal fees because we're not having to drive the case forward. So -- and we keep a very close track on the Barclays case to be sure that it is still relevant and consistent with our own case. Aside from that, we do also continue to have ongoing dialogue with HMRC around our own case to better improve their understanding of what we do and where our structure sits. So it is moving forward. I'm afraid it is glacial. And I expect it will still be another 18 months to 2 years at the speed that these things move before we have any certainty on it. But just for everyone's comfort, just to be absolutely clear here, we are actually working on a basis that we pay VAT on everything. And therefore, there is no accruing liability. There is only a potential upside on this for us.
Operator: We'll now move to Ben Bathurst of RBC.
Benjamin Bathurst: I've got questions in 3 areas, if I may. Starting on one for Alex, probably on pricing. I just wondered, could you provide some market context to the decision to broadly hold charges flat at this point? And sort of specifically, how do you now assess the current pricing differential to be for Transact versus your closest competitors? And do you expect that differential to now change looking forward? And then secondly, on capital, probably for Euan, how should we think about the likely growth in ongoing capital requirements looking forward? Should that grow broadly with the level of funds under direction? Or could that be at a slightly slower rate than that? And then finally, on the flow outlook, obviously, you talked about confidence in growing market share. Are there any customer groups that you could do better with in terms of net flows? And are you intending to target those more specifically looking forward?
Alexander Scott: Thanks, Ben. I'll pick up the first and third of those, and then hand over to Euan. So in terms of pricing, we've done quite a lot over the last few years to bring our pricing down to a pretty competitive level across the market areas that we really want to be competitive in. And I think where we are relative to our key competitors, we're in a good position. There are changes in the shape of the market, and there are also changes -- have been changes in the way that competitors have actually extracted revenue from their clients. So it's become ever more tricky to actually review exactly what clients are being charged by any one platform because of the use of taking a share of client interest that is undertaken by several other platforms. So when we actually compare across the total take from clients, we find that we're actually in a pretty strong position in all places. How that shape will evolve is obviously something that regulators have had things to say on, but they seem to have settled down now and see quite on. And we've seen that now predominantly the changes that are being driven are people trying to do deals with sort of consolidating groups to actually try and win blocks of business. We're finding actually that we are not particularly needing to do deals and we're still able to win consolidator business through the delivery of the requirements that they need and the quality of service that they want. And you asked about where there's areas of net flows that we still think that there's more for us to do. I mean I've spoken before about the fact that we've changed one of the parts of our sales team to be more focused on the consolidated part of the market because traditionally, we were very much more in the smaller adviser firm sector. And we've definitely grown out of there and are actually sort of pushing more into actually working with the consolidating firms, understanding better what their needs and requirements are, not just from a pricing perspective, but how they want to work with us and what we can deliver for them. And we've certainly found that we've been doing pretty successfully with adviser groups where they've sort of started to move down routes of delivering their own platform to then actually moving to a more panel structure where Transact has been very successful in being the chosen outside provider to be bought in to work alongside their own platform offering. Euan, if you want to pick up on the capital.
Euan Marshall: Yes. On the capital piece, Ben, I think it's -- you probably know this very well already, but we have 3 regulated entities across the group. So when you look at the MIFIDPRU regulated entity, yes, the answer to your question would be, is broadly a good idea to look at growth of FUD through -- coming through as growth in regulatory capital requirements. And there's a few funnies in there, but that's a good broad assumption to make. We then have 2 insurance entities as well where it gets a little bit more complicated. But again, I would anticipate a good rule of thumb is probably to look at increasing capital requirements in line with FUD growth over time.
Operator: As we do not appear to have any further questions. Mr. Scott, I'd like to turn the call back over to you for any additional or closing remarks. Thank you.
Alexander Scott: Thank you. Well, thank you, everyone, for attending this morning and listening to us. And I wish you all a good day and a happy Christmas.